David Hancock: Thank you. Good morning and welcome to Adecco’s Second Quarter 2015 Results Conference Call. To present to you today I’m joined by Patrick De Maeseneire, Group CEO; and Alain Dehaze, CEO designate, who will formally take over the CEO role from September 1. Before we start please have a look at the disclaimer regarding forward-looking statements in this presentation. So let me give you a quick overview of today’s agenda. Patrick will present the operational highlights, followed by an overview of the country performances. Then I will review the financials and, finally, Alain will cover the outlook. We will then open the lines for your questions before Patrick closes the call. With that, Patrick, I hand over to you. 
Patrick De Maeseneire: Thank you, David. Good morning, ladies and gentlemen. I will start with the highlights of the second quarter where our colleagues around the world delivered another good performance. On this and the following slides I will give all growth rates on an organic basis unless otherwise stated. We had revenues of €5.6 billion; an increase of 4%. Gross profit also grew 4%. The gross margin was 18.7%; up 60 basis points year on year or up 10 basis points on an organic basis. Costs continued to be well controlled. SG&A, excluding one- offs, was up 2% year on year and up 1% sequentially. This resulted in EBITA, excluding one-offs, of €272 million. The EBITDA margin, excluding one-offs, was 4.9%; up 30 basis points on year on year. When looking at our exit rates, the months of May and June were both heavily impacted by trading day adjustments. Combined, they showed 4% growth over the prior year, adjusted for trading days. In July revenue growth was similar to Q2, adjusted for trading days. Let’s have a look at the second-quarter operating performance in more detail. I will start with the revenue development by region. In Europe revenues grew by 3% in the quarter compared to a growth of 2% in Q1. We returned to growth in France and in Germany, and we saw a further pickup in Italy and the Benelux, while Iberia again achieved double-digit growth. In North America growth moderated, with organic growth of 2% compared to 4% in Q1. The growth was driven by strong performances in industrial, medical & science and finance & legal, offset by continued weakness in engineering & technical. Growth in the Rest of the World was 8% in Q2. In Japan revenues were up 3%. In Australia and New Zealand revenue growth was 7%. Emerging markets’ revenues grew by 11%, led by double-digit growth in Eastern Europe and in India. Looking next at the revenue development from a business line perspective, we see that the industrial business continues to be the main driver of growth. In Q2 revenues in industrial grew by 6%; up from 5% in the previous quarter. France and Germany returned to growth and the growth improved in Italy and the Benelux, while North America, Iberia and Eastern Europe continued to grow double digit. In office revenues grew by 4% year on year; the same as in the previous quarter. In professional staffing revenues declined by 2%. Revenues grew in finance & legal and in medical & science, while information technology was flat and engineering & technical declined. Finally, within solutions, growth remained strong in our VMS, MSP and RPO businesses. Let’s also have a look at the second-quarter revenue development by service line. Temporary staffing is our largest service line and growth here was 3% this quarter; the same as in the previous quarter. Revenues from permanent placement continued to grow strongly; up 17% in Q2 compared to 12% growth in the previous quarter. In outplacement growth was 5% this quarter compared to flat in Q1. We now go through our main markets in more detail. In France revenues returned to growth and were up 2% on the prior year. Revenues in our large industrial segment increased by 3%. Revenues in office were flat, while professional staffing declined by 10%. From an industry perspective, in construction there are signs of stabilization, while in logistics and automotive growth continued to improve. Permanent placement revenues in France were up 10% this quarter. The EBITA margin was strong at 6.6%; up 50 basis points year on year. In May and June together revenues were up 3%, adjusted for trading days, and July showed a similar trend. We turn next to North America. Revenues increased by 2%, with growth of 4% in general staffing, while professional staffing was flat. Within general staffing, we saw continued strong growth in the industrial business at 11%. This was again driven by good demand from the logistics and technology sectors. The office business declined by 4% in Q2, partly due to continued weak financial services. Within professional staffing, we saw growth of 10% in medical science and 5% in finance & legal. IT returned to growth and was up by 3%. Engineering & technical declined by 9%, negatively impacted by weakness in the oil and gas industry, especially in Canada. In perm we continued to deliver strong performance with revenue growth of 12%. The EBITA was 6.1% in the quarter; down 10 basis points year on year, excluding restructuring costs in Q2 of last year. In May and June combined were up 2%, adjusted for trading days, and July showed a similar trend. We turn next to the UK & Ireland. Revenues overall were down 1%. Our professional staffing segment was down 3%, with IT down 2% and finance & legal down 1%. Our office business line was up 4%. Perm revenues were down 1% in the quarter. The EBITA margin was 2.4% compared to 2.5% in the second quarter last year. Revenues in May and June combined were up 1%, adjusted for trading days, with July similar to Q2 as a whole. As mentioned previously, due to changes for some of our UK master vendor and related sub-supplier agency contracts, third-party revenues that were previously reported gross are now reported on a net basis. This has the effect of reducing the reported rates of revenue growth in UK & Ireland. Excluding this impact, revenue growth would have been 2% higher than reported. In Germany & Austria revenues returned to growth and were up 2%.Our industrial business line was up 4%, but revenues in professional staffing fell 1%. Engineering & technical, which is our largest professional staffing business in Germany, declined by 4%, while IT grew 8% and finance & legal 2%. In our perm business revenues continued to grow strongly and were up 29%. The EBITA margin was 2.4%; up 10 basis points year on year. As you know, the impact of bank holidays makes our margin in Germany very seasonal and, therefore, we expect a much stronger margin in Q3 and also in Q4, when the timing of bank holidays this year is especially favorable. In May and June together revenues were up 3%, adjusted for trading days, with a similar growth seen in July. In Japan revenues grew by 3% in Q2. Adjusted for trading days, the growth rates in the first and the second quarter were similar at approximately 4%. Office revenues were up 5%, while professional staffing revenues remained solid. In our perm business revenues were up 30%. EBITA was €16 million, giving an EBITA margin of 5.8%; up 30 basis points year on year, despite the investments in the rollout of our global IT platform. In May and June together revenues were up 4%, adjusted for trading days, with a similar growth in July. Finally, in terms of regional performance, I’ll touch briefly on some of our other markets. We continued to see accelerating growth in Italy, which was up 19%, and the Benelux up 8%. Iberia remains strong and was up 13%, continuing its trend of double-digit growth, which started at the end of 2015. In the Nordics, while Sweden returned to growth, Norway worsened, due to a market environment which continues to be very challenging. In Lee Hecht Harrison organic revenue growth was 4%. Knightsbridge, our acquired business in Canada, is consolidated since April 1. The EBITA margin, excluding integration costs, was 30%. Once again, Lee Hecht Harrison outperformed by far the market on the top line and on the bottom line. And, with this, I hand over to David to take you through the financials in more detail. 
David Hancock : Thank you, Patrick. I’ll start with an overview of the P&L. Patrick already mentioned the operating highlights in his introduction, with revenues of €5.6 billion and EBITA, excluding one-offs, of €272 million. EBITA, excluding one- offs, increased by 19%, or by 10% in constant currency. Looking further down the P&L, the effective tax rate was 25% this quarter. Discrete events had a positive impact of 2% on the tax rate. Net income grew by 22% and basic EPS grew by 25%, helped by the ongoing share buyback program. Next, let’s look at our sequential revenue growth analysis. This slide shows the sequential growth adjusted for currencies, acquisitions and trading days for each quarter compared to the long-term sequential median growth for that quarter. In this way we showed a sequential growth adjusted for seasonality. After outperforming the long-term trend in Q1, we were again in line with the trend in Q2. This quarter we saw the greatest outperformance of that long-term trend in Italy, France, Benelux and Iberia, while we underperformed the long-term trend in the Nordics, because of Norway, in Switzerland and in the UK & Ireland. Turning next to the year- on-year gross margin evolution, the Group’s gross margin was 18.7% in Q2; up 60 basis points on a reported basis. Currency effects accounted for 30 basis points of the increase. Acquisitions had a positive effect of 20 basis points and the organic increase was 10 basis points. On an organic basis, temporary staffing had a 5 basis points negative impact on the gross margin, while permanent placement added 15 basis points. Now let me discuss how the cost base developed in the second quarter. As always, we monitor revenue developments closely and we manage the cost base accordingly. SG&A, excluding one-offs, was up 2% organically compared to the prior year. In Q2 2015 one-offs comprised €5 million integration costs in LHH related to the acquired Knightsbridge business and €10 million costs for contractual obligations related to the change of CEO and CFO. In Q2 2014 one-offs comprised €4 million costs in North America. Looking sequentially, our cost base was up 1% in the quarter organically and excluding one-offs. Next, turning to the cash flow statement. In Q2 2015 cash flow from flow from operating activities was €154 million. During the quarter we again sold part of the CICE receivables, as we did also in Q2 2014, generating cash proceeds of €163 million this quarter compared to €193 million last year. DSOs in Q2 were 53 days; one day less than in the prior year in constant currency. In the quarter CapEx was €24 million and the Group paid dividends of €348 million and paid €11 million for treasury shares. To date, under our share buyback program of up to €250 million launched in November last year, we’ve acquired 1.4 million shares for a total consideration of €90 million. Net debt at the end of June increased to €1.4 billion compared to €1.1 billion at the end of March, primarily due to the payment of the dividend. And net debt-to-EBITDA ratio was 1.3 at the end of Q2 2015. As usual, we’ll now also give some financial guidance. Corporate costs this year are expected to be around €125 million. Interest expenses, excluding interest income, are expected to be around €65 million for the year. CapEx for 2015 is expected to be around €90 million. And amortization of intangible assets is expected to be approximately €35 million. For the third quarter we anticipate an effective tax rate of approximately 27%. And in Q3 SG&A is expected to decrease slightly compared to Q2 in constant currency and excluding one-offs due to normal seasonality. And, with that, I’ll hand over to Alain for the outlook.
Alain Dehaze: Thank you, David. Good morning, ladies and gentlemen. As David said at the beginning of the call, I will formally take up my position on September 1 but already Patrick and I are actively engaged in our handover process. So, as part of that process, I also join you on the call today. Now let me comment on our outlook before I add some additional remarks. In the second quarter revenue growth continued at a similar level to the first quarter. The overall trend in all businesses in Europe has continued to become more positive, while growth remains robust in emerging markets. This has been offset by some moderation of growth in North America. In July revenue growth for the Group was similar to the second quarter in constant currency and adjusted for trading days. We continue to be committed to achieving all EBITA margin targets. As previously stated, this is dependent on an acceleration of revenue growth in the second half of the year. Given the trend in our business and the current economic outlook and helped by a mid-year comparison base, we continue to expect such a pickup. Based on this positive outlook, we remain convinced we will achieve all targets. Besides these comments on the outlook, I would like to add a few additional remarks. As you can imagine, it has been a rather busy three months since we announced the upcoming change in leadership. As well as the smooth handover with Patrick, high priorities for me have been the appointment of my successor in France and of a new Group CFO. In France I’m very pleased that we were able to appoint as my successor Christophe Catoir, who has 20 years’ experience in our business, despite his youthful 43 years of age. Regarding the CFO search, we are making very good progress. I hope you will understand that we will not give specific details on process and the timing at this stage. Also, in the coming months I will enter into our annual strategic review process together with the Board and I would like to assure you that we are all committed to maintaining our strategic direction and continuing our financial discipline. I’m now very much looking forward to engaging with the investment community and, in fact, I should say reengaging with those I know from my time as CEO of Solvus. Over the coming days I will be on our investor roadshow, along with Patrick, so I hope that we will get a chance to meet in person. And, with that, I hand back to Patrick.
Patrick De Maeseneire: Thank you, Alain. Ladies and gentlemen, since this is my last call with you I will add a few words from my side after the Q&A session. And for this Q&A session we open the lines right now.
Operator: [Operator Instruction] The first question comes from Chris Gallagher from JPMorgan. Please go ahead.
Chris Gallagher: Good morning. A couple of questions from me. The first one is you give some color around contracts that you say in the U.S., you mentioned on the last call, that could be helpful in IT and engineering & technical. And then the second question is around the gross margin and temporary staffing. It had a negative impact overall this year or this quarter and I’d just like to know what geographies are you seeing more intense price pressure. Thank you.
David Hancock: So on the first question on the U.S. business, as you said, we highlighted some contract wins last quarter that we said would start to come through as of the third quarter. You see already a bit of that benefit in IT in the second quarter, where the growth rate picked up, actually, from a decline in the first quarter to growth in the second quarter. And we would expect that trend to continue into the second half of the year in terms of improving top-line growth in IT in North America. If we look at the engineering & technical business, that business was down in North America 9% in the second quarter, heavily influenced by Canada. So, excluding the effect of engineering & technical in Canada, we would have been down 6%. So still, clearly, a decline. There is pressure on the engineering & technical business from, clearly, the oil price and the effect on oil and gas. And also we see reduced spending in defense, which is also impacting that business. And we haven’t really yet seen the CapEx cycle pick up in the U.S and that is also important to seeing engineering & technical improve. So I think for IT we’d expect an improving trend in the second half of the year.Engineering & technical will remain challenging
Chris Gallagher: Okay.
Patrick De Maeseneire: On your second question on the potential price pressure and the negative development on the temporary gross margin, I would like to point out that we are only down 5 basis points, which is a rather good development, I would say, if you compare it to the market. And I would also say that the pricing environment overall stays pretty rational. As also stated in the previous call, there is one of the other competitors saying that they would share some subsidies in France or that they would invest some of the margin in gaining market share in Holland and we’ve seen that. If you see at the profitability development of some of our peers, you see that this is actually happening. But, as you know, as the market leader we don’t want to participate in that. We want to keep our price discipline. And so we are happy that we are only down 5 basis points. You also have to see that the second quarter is a quarter which is mostly affected by bank holidays. And we had two additional bank holidays in Holland and so as well for the markets of Germany, Sweden and Holland this has quite some impact. So, for us, the pricing stays really at the level that we want it to be. 
Chris Gallagher: Okay. Thank you.
Patrick De Maeseneire: Next question please.
Operator: The next question comes from the Nicholas de la Grense from Bank of America Merrill Lynch. Please go ahead.
Nicholas de la Grense: Good morning. Two questions from me, please. In terms of France first off, momentum was pretty good and the comps obviously you had a lot easier in the second half. Is it fair to say that when you talk about the second-half acceleration in growth that France would be the biggest delta to that? And then perhaps – the PRISM data out of France for the last couple of months has been a little bit confusing, with revenue growth, or industry revenue growth, outstripping the number of temps at work quite considerably. I was wondering if you could comment on what trends you’re seeing and whether – which is the right number to look at in terms of the PRISM data. And then the second question, just more generally. Obviously organic cost discipline has been very strong. And I was just wondering to what extent are regional managers holding back on investment in order to hit the 5.5% margin target by the end of this year? And what would it take to see organic growth, or organic cost growth, step up? At what level of organic top-line growth would you need to see an acceleration to? Thanks.
Nicholas de la Grense: Sorry, I wasn’t very clear. So organic cost growth has been pretty low, 2%. If organic growth steps up in the second half at the top-line level, would you expect cost growth to increase proportionately? Or do you think your regional managers are going to be able to keep a lid on costs in order to hit the 5.5% margin target?
Patrick De Maeseneire: First, in France in detail, the momentum is good. We’re returning from minus 2% to plus 2%. We see also in the construction, for example, which is a rather important part of our business, that sequentially this was the highest growth rate that we have had since many years. So at least we see a stabilizing situation there. So we expect France to pick up further, indeed, in the second half. And other countries that we expect to contribute to the additional growth rate is Germany, Benelux. We also expect North America to be slightly better and Italy and Iberia will stay high. Your second question on PRISM?
David Hancock: You’re right. The data had been somewhat volatile over the second quarter and there’s a significant holiday and trading day impact on the numbers, especially in May. I would say the overall trend is one of improving underlying growth. So it’s not just in the second half of the year that the comps get easier but the underlying trend is also improving. And we would expect to have both volume growth and sales growth to exceed volume growth, I’d say, by a couple of percentage points
Patrick De Maeseneire: On your third question on the cost discipline and the regional managers, I can assure you that we are not holding back on investment in order to achieve our target. If you look at our growth rate in the second quarter, fair to say that we are somewhat below our peers but you also have to see that we have, still in the second quarter, a somewhat tougher base than our peers. And then, as you have seen, for example, in North America, in the last four quarters we had really very good leverage. This quarter we don’t have it any more. And it’s also because our perm continues to grow strongly and we are investing there. We are also investing in our finance and in our healthcare business. And, of course, if the engineering development continues like it is, we will reduce there some capacity to make sure that we stay on our profit targets. But that’s normal business practice. We also invested in the past in Italy. You see the good leverage there. We invest in Spain where we have continuous good growth since the end of 2013. So we are absolutely not investing. If we would do that, we would not roll our [IM] platform this year because this is, of course, creating additional cost and we are just doing the normal business. Now on the outlook for the costs, if we accelerate now the growth into the second half, what the cost will be, maybe on the dropdown ratios, David will answer your question. 
David Hancock: As you know, we said we need 6% growth or more for the full year to achieve the margin target. We had 4% in the first. So the simple mathematic implies an acceleration to high-single-digit growth in the second half of the year, around 8%. And, because the second half has higher weighting than the first half, could even be a fraction below that, but rounded 8%. With that kind of growth we would expect a little bit more cost growth year on year than we had in the first half. But the leverage, so the dropdown ratio, in the second half of the year should be higher than it was in the first half of the year.
Nicholas de la Grense: Thank you. That’s very clear on all points. Cheers.
Operator: The next question comes from the Konrad Zomer from ABN AMRO. Please go ahead.
Konrad Zomer: Hey, good morning. A question on the North American performance. I think the progress you’ve made over the last few years has been significant, so it does explain a bit of the lower growth that you show today. But, within the professionals business, I would like to get a better feel for why you think that market is still not growing for you and why you think that will improve as early as in the second half of this year?.
Patrick De Maeseneire: Konrad, indeed, in North America we see a little bit of slowdown. We said that also in the presentation. Now you have to see that we are growing in North America since the first quarter of 2010. Each quarter we have been growing year over year between 1% and 6%. Most of the quarters it was 2% or 3%. So, for us, the 2% that we are having now in the second quarter is not worrisome. It’s a country or a region that has been growing for more than five years. You have to expect that, especially if we see what’s going on in Canada because without Canada our growth would be in the U.S along 3%. And also we see a similar development in July. So we don’t see this market now turning negative for the second half of the year. As far as your question on professional is concerned, what we see, and that’s explaining the engineering what David already outlined, the 9% reduction 3% is coming from Canada. That’s mainly oil and gas. But then what we don’t see happening yet in the U.S is the CapEx cycle. So capital investments are not there. Defense is still somewhat under pressure. So that’s where we see that engineering is not picking up, The same thing is true for Germany, by the way. So this CapEx cycle still has to start.
David Hancock: And also to add in terms of the other professional business lines, we have in finance double-digit growth. We have in the medical & science business double-digit growth. And you see that IT it also started to pick up. IT we had a very good performance in 2013 and the early part of 2014. We slowed a little bit during the course of 2014 and that’s starting to pick up again. So the overall professional staffing number was flat in the quarter. But, as you can see, there are lots of different moving parts, and outside of engineering& technical, actually the performance is generally improving. And, as I said, in some of those businesses, in finance, in medical & science, we had double-digit growth.
Konrad Zomer: Okay. And then one quick follow up on the office business in North America. The minus 4%, I think well explained by an ongoing slowdown in financial institutions. But can you tell us what proportion of your office business in North America is related to financial institutions?
David Hancock: So the office business overall is a little bit less than one-quarter of the business in North America. And, of that business, I would say approximately 15% to 20% would be related to financial services.
Konrad Zomer: Okay. That’s very helpful. Thank you very much.
Operator: The next question comes from the Toby Reeks from Morgan Stanley. Please go ahead.
Toby Reeks: Good morning guys. Can I ask a couple? I may be getting a bit too specific here but on that 5.5% margin target you’re being very explicit about requiring 8% in the second half, or more or less 8%. The operating leverage will pick up. I think there’s fewer bank holidays. Are you saying if you don’t get to, say, 7.5%, for example, you would be below that target? And then secondly, Alain, you’ve obviously been there for a long time. You’ve highlighted in your opening comments about how you will continue the strategy, with the focus on financial discipline. Perhaps you could talk about any potential differences you would perceive between your style of leadership and strategic direction relative to Patrick on his final call, please.
Patrick De Maeseneire: Thank you for reminding me.
Toby Reeks: That’s all right.
Patrick De Maeseneire: First of all, on the 5.5% growth First I would like to point out that Q2 came in really in line with our own expectations. So perfectly in line with our own expectations. So we have had 2 times 4% growth and we always said, and I said it several times in individual meetings, if we have a growth below 6% we won’t achieve the target. So we have to grow approximately 8%, like David was pointing out. A little bit less in the second half because of the higher proportion but that’s what we have to grow now. Now do we see that possible? Yes, we see that possible for two reasons. First of all, if you look at the GDP outlook for the eurozone, and that’s 70% to 65% of our business, GDP is expected to expand from 1.2% in the first half to 1.7%. And so this is sequentially quite a pickup. And you know we are a multiple of GDP. So this will add to our business and we’re already seeing that in France, in Germany, in some of the countries. Also in France, GDP is expected to grow from 1.8% in the first half to 1.2% and this will add as well. Then the second reason is the base effect. As you know, at the investors’ conference in Rome last year in September we said that we saw a slowdown mainly in France, mainly in Germany, mainly in Europe. And you saw it in our overall numbers, where we have grown up until July between 5% and 6% each month. We got 6% in the first quarter, 5% in the second quarter. And also in July we still have a growth rate. And then we saw a slowdown as from August. So the base effect is kicking in, as we speak. So this will also help in achieving the growth rate that we have to have. And on the margin expansion, excluding one-offs, our EBITA margin is up approximately 50 basis point in the first half. We know we need 70 basis points because we had 4.8% last year. But we achieved this 50 basis points now with 4% growth. So, of course, if we have now a higher growth in the second half, we’ve got better leverage. We’re also going to be helped by the bank holidays in the fourth quarter, especially in Germany, which will add 280 basis points to our margin in Germany and that’s about 25 basis points, 23 for the Group. So this will all help to achieve the target. Also if we look at our bottom-line development, we in June, which is a month without holidays, we had a very strong EBITA margin of 6.3 % and this is also very promising for us to achieve the target in the course of the second half and then for the full year.
Toby Reeks: Okay. Thank you.
Alain Dehaze: And now on your second question about strategy, first of all, like I said in my introduction, I will provide continuity in all strategy. Somehow Patrick and the whole Executive Committee has worked on it and I was part of it during the last six years. So we will further build on it. Now more specifically about the capital strategy, we will continue our shareholder- friendly approach, with the first priority to invest organically in the business and in the development of the business. Second priority is to continue the dividend policy we have with a payout ratio of between 40% and 50% and a stable dividend. Regarding acquisition, so there also we will keep our policy of no acquisition. And last, but not least, in case of excess cash we will continue share buyback. On the other aspects, more the EVA, I also will continue this EVA discipline with a strong pricing and comp discipline. And somehow what you see today in France is also the result of four years’ work with the highest profitability among the peer group. And, again in Q2, an increase of 50 basis points to 6.6 % EBITA.
David Hancock: And, Toby, just to add and to clarify on the dividend policy. So by stable dividend we mean we would pay out above the 40% to 50% payout ratio if we needed to in order to keep the dividend at least flat. But in an environment where we have growing earnings growth then, clearly, we will grow the dividend.
Toby Reeks: Okay. Very clear, guys. Thank you.
Patrick De Maeseneire: Next question please.
Operator: The next question from it’s a Hans Pluijgers from Kepler Cheuvreux. Please go ahead.
Hans Pluijgers: Good morning gentlemen. A few questions from my side. First of all, coming back on the outlook statement, you really a little bit indicated by country a little bit some flavor of what you’re seeing in trends and – but could you give us also some feeling on what you see, let’s say, what you need for the 8% growth? And how do you see the breakdown by services? So by general staffing, perm and professionals where do you say, let’s say, where you really expect to see the acceleration? And especially on perm if there the comps are becoming more difficult do you also need an acceleration there to get to your target on the top-line growth? Then secondly, coming back on discussing on U.K. There you see perm quite somewhat under pressure, somewhat under pressure. But if you look at the market trends they still are quite positive. In main peers you see an increase. Is there any specific reason behind that? And how do you see that progressing? And lastly, on North America. Also there on the second half you expect to see some pickup again from the 2%. But, at the same time, you see that comps also become more difficult there. So why are you so certain that North America could show a pickup in the second half?
Patrick De Maeseneire: Okay. Maybe on your first question, just generally on perm. Indeed, we expect perm further to increase in the second half. We have done very well on perm in the past quarters overall as a Group; growing 13% now this quarter, 12% in the fourth quarter 2014 and the third quarter 2015. And, despite the tougher base that we’re having in the third and the fourth quarter, we expect our growth rates to pick up from where we are now in the third and in the fourth quarter. You want to add something on professional or general, David? 
David Hancock: So I think we would expect both professional and general staffing to pick up in the second half of the year. Clearly, the top line is being led at the moment predominantly by industrial growth. But, as I said, over the second half of the year in IT in the U.S we should start to see an improvement. And, more generally, clearly the staffing business lags behind the general staffing business in the recovery. But, as we see a recovery strengthen in Europe, we would expect to see some improvement in professional staffing growth as well. 
Patrick De Maeseneire: So on your question on the U.K. the perm development minus 1%. Yes we are not satisfied with this development. in this market. We should do better. But fair to say that perm was up 13% last year in Q2, so we have here a tough comparison base. But still we should do better. And also to our defense, if I may say so, we don’t have a lot of exposure to the sectors like the construction, public that are growing very well in perm. But, then again, we are not satisfied with this development. It’s something that we have to fix. We had some management attrition in the past couple of quarters. It’s a very aggressive market and if people move to the competition they usually move business with them and that’s what has happened in the past couple of quarters. We are fully aware of it and we are in the process of fixing that situation and creating stability for the future. Now what makes us more optimistic for North America, because that was your third question? Again, what I said is North America has been growing year over year since the first quarter of 2010. So we are not, because we see now a little bit of slowdown from the 4% to the 2% and it’s also mainly driven by Canada, that this would not tremendously change for the second half and that this would turn negative. So you can expect maybe a somewhat better growth in the second half of North America but I also don’t want to say here that it’s going to be a lot higher. We see now a stabilization into July. We see it also in the recent numbers. So I don’t, again, don’t expect it to further go down but I also don’t expect it – it’s not a country where I said that it would contribute a lot to the growth. I said it would be in line or slightly better.
David Hancock: And I would just add one point on the sequential momentum in North America. We actually had a slightly better sequential trend in Q2 than we had in Q1 in North America. So that’s also gives us some confidence that the at least stable outlook for North America makes sense.
Hans Pluijgers: Okay. Thank you very much.
Patrick De Maeseneire: Thank you. Next question please.
Operator: The next question it’s from is Tom Sykes from Deutsche Bank. Your line is open.
Tom Sykes: Yes. Thank you good morning everybody. Just firstly on the bank holiday effects that you’re picking out. I wonder whether you could just say what the drag on the gross margin was due to bank holidays year on year which would have been different to the last quarter, please
David Hancock: So, Tom, the effect year on year is mainly coming from the Netherlands, where we have two more bank holidays in Q2 this year than in Q2 last year. And, as you know, it’s a relatively small business for us so it will be a few basis points of impact but it’s not a dramatic effect. What I would say is the difference in the temp gross margin development in Q2 compared to the development over the last four quarters was that you may recall that, as of Q2 last year, in North America we started to have a positive development on our healthcare costs and we annualized that as of Q2 this year. 
Tom Sykes: Okay, thank you. And then just on the comments of a similar growth rate. Obviously, you said that last time as an exit rate and the first month of the next quarter. Are you saying that the rate of improvement is also similar, that you’re seeing an acceleration but it’s a similar pace of acceleration as that which you saw at the beginning of the last quarter? Because, obviously, to get to the 8% – it doesn’t sound like you’re at 8% now so, therefore, you’re going to have to do faster than 8% for the remaining five months.
Patrick De Maeseneire: Tom, you’re absolutely right. We have in July a similar development as in the second quarter. But, as I said earlier, last year, and you know this from our investor days, last year we had the growth between 5% and 6 % every month the seven months, so including July. So the base effect is only kicking in as from August. And then the GDP expansion. The second half in revenues is always more important than the first half but the GDP expansion will only have its effect as from September, not in the not in the summer months. So you’re absolutely right. And we see a gradual improvement. If we say we need 8% in the second half, you’re not going to see 8% in the third quarter. So it has to pick up further in the fourth quarter to come to 8% for the six months. And, again, knowing that in the third quarter we had 4% last year and in the fourth quarter we had 2%, the base effect will additionally add in the fourth quarter, helped by also the fact that we have two less in Germany, which will, of course, expand the margin but also expand the business.
Tom Sykes: Yes, okay. Great. Thank you. And then just on the professional businesses, following on from what everybody else has asked there, and I know you’ve given clarity on the U.S. or North America. But also your professional businesses are down in the U.K., France and Germany as well. And so what is it that means at this stage – if that was a standalone professional business compared to some of the listed peers that’s a pretty significant underperformance. So what are the key issues for you? And why should we be looking to the businesses in, say, the U.K., France and Germany to get better, which may not have the big contracts helping, like maybe the U.S. does, please?
Patrick De Maeseneire: First of all, Tom, as you know, our biggest professional businesses are, indeed, in North America and the UK. So France and Germany, in that respect, in the total of our portfolio is much smaller. So the effect on the Group is also much smaller, of course. But, like I indicated earlier, we haven’t seen the CapEx cycle starting, also not in Germany. And, in that respect, for the eurozone we can really say that we are still early cyclical. We see the industrial business only picking up now. We see the business in France and Germany only turning positive now. So here we are really early cyclical in Europe. So the professional business can only pick up later. As far as the UK, this really has to do, for the majority of the problem, in our IT business. And this has to do with the management attrition that I already mentioned also for our perm because it’s the same leadership, of course. And there also we are just not satisfied with our development. It’s better to recognize the problem and to fix it than afterwards just say that we don’t have a problem. So we know and we are aware of it.
Tom Sykes: Okay. Thank you. And could I just ask one final clarification? The family allowance benefit in France was that about 50 basis points or –?
Patrick De Maeseneire: For the total French business how much basis points, we still had the majority in the first quarter and we always said that it would be computed away throughout the quarters. And for this quarter it’s not 50 Basis points . I would estimate more like .34 basis points for the second quarter.
Tom Sykes: Okay. Great. Thanks very much, Patrick
Patrick De Maeseneire: Next question please.
Operator: The next question it’s from David Tailleur from Rabobank. Please go ahead.
David Tailleur: Hey, Good morning gentlemen. Two questions. Firstly, on the phasing of the costs of the rollout of the global IT platform. Can you remind us of the phasing costs in this year and also maybe next year? And can you confirm that you started this in Iberia and that more countries will follow? And then secondly, on the growth trend in outplacements. How can you confirm the acceleration in growth? Is that driven mainly by Europe or is it also visible in the U.S.? Thanks.
Patrick De Maeseneire: So on Lee Hecht Harrison, I will take that question first. U.S. was flat, Canada was strong and France was minus 1%. And those are our main markets for outplacement. On the phasing of the costs for IM?
David Hancock: And first I’d just add on the LHH tend. The market, clearly overall, is down and we’re outperforming the market. I wouldn’t say a trend of acceleration in what we saw in the second quarter, but we are clearly outperforming the market. But we wouldn’t expect now to see the LHH business really accelerate into the second half.
David Tailleur: And, if I may David, what you see in Canada, that it’s really a countercyclical effect. Is that fair to assume?
Patrick De Maeseneire: Yes, because in our staffing business and we’re really down and we are hardly hit also by the oil and gas industry and so we see the counterpart on the outplacement side. So there are [inaudible] really strong. 
A – David Hancock: In terms of the IT spend and the phasing, you’re right. We began the rollout in Japan and we have some cost associated with that and the preparations for the rollout next year in Iberia. So there’s some additional cost there. Overall, the IT spend in 2015 will be very similar to what it was in 2014 for the Group as a whole. For next year there will be a small additional cost for the preparations for the further rollouts but, at a Group level, it’s not going to be a material amount 
David Tailleur: So then we talk about, let’s say, €5 million to €10 million max, something like that?
Patrick De Maeseneire: Yes. Something in that range. Maybe a little bit more but that’s going to be the range.
David Tailleur: Great. Thanks a lot, guys.
Patrick De Maeseneire: You also have to see that, at the same time, once we have countries on the system at the same time we will be able to decommission the older systems and that will reduce the cost but, of course, we are not there yet. So next year it will still add and then for the longer term it should compensate. 
David Tailleur: Right. That’s very clear. Thanks a lot.
Patrick De Maeseneire: Next question please.
Operator: The next question from it’s Alain Oberhuber from MainFirst. Please go ahead.
Alain Oberhuber: Good morning everybody. I have two questions. The first question is about the gross margin. You said that in Q2 gross margin improvement was 50 basis points mainly because of the FX. Now how much was it mainly because of the U.S. dollar and how much was it of the euro? And the second question in that is, if the currencies stay stable, how much could we expect on gross margin improvement for the rest of the year, for H2? And the other question on another topic is regarding these €9 million of extraordinary expenses you recognized in Q2. For what were these €9 million?
A – David Hancock: So, Alain, on the gross margin effect it’s all – or the currency effect. So gross margin was up 60 basis points in total, of which 30 basis points came from currency effects and that’s entirely due to the U.S. dollar. And, assuming the same exchange rates as we have now going forwards, we’d expect a broadly similar effect in the second half of the year, probably slightly less but in the 20 basis points to 30 basis points of range. 
Patrick De Maeseneire: And on your second question, Alain, on the extraordinary costs in the second quarter. So we had a €5 million of integration costs to the Knightsbridge acquisition, so for Lee Hecht Harrison. And then there is approximately €10 million for me and Dominik being announced in May that we are leaving the Company and that has mainly to do with our long- term incentive plan, with our share plans, that normally would have been spread over a number of years but which are now recognized because of the announcement that we have done in May. So we took these costs in the second quarter, as we have to do, of course.
Alain Oberhuber: Okay. Thank you very much.
Patrick De Maeseneire: Next question please.
Operator: The next question from it’s Matthew Lloyd from HSBC. Please go ahead
Matthew Lloyd: Good morning gentlemen. A slightly longer term question. Over the last few years, the number of temps actually going through an agency in France has been falling as a percentage. So I think roughly 20% of the French workforce are temps but the vast majority of those are direct. Why do you think that is? And is it true that that trend is beginning to reverse?
Alain Dehaze: Perhaps I can take these questions. So what you have seen over the last years is that a lot of manufacturing activities went down. I think the most obvious example is the automotive industry. They have reduced dramatically the usage of temps the last years. And what you see now, it’s again a pickup of this activity, automotive, but also aerospace, retail. And I don’t know if we have already mentioned it also in this call the construction sector, which was the biggest segment of this industry in France, went down dramatically and now has stabilized. If you see the development of the construction, it was minus 70% in Q1, minus 8% in Q2 and you see there also a stabilization. And I would say it should develop positively over the quarters to come.
Matthew Lloyd: Thank you. Just one quick follow-up question. Do you think you have a strong enough presence in the SME client base? Is that something that, going forward, Adecco perhaps needs to address? Or do you think it’s there just awaiting demand?
Patrick De Maeseneire: You mean for the Group or you mean for France?
Matthew Lloyd: I mean for the Group, really.
Patrick De Maeseneire: As you know, for the Group this is really a priority that we have years ago under segmentation. We know, if we compare ourselves to the market, that we are over-exposed to large accounts and underdeveloped in small company business, where the margin is a lot higher, where the delivery cost is also a , lot higher but the bottom line is much better. For example, in France we have developed a distribution channel only for the SME segment and it’s growing very well and it’s performing very well. We already did that in the past years in Italy and in Spain. And we are in the process of doing that in other countries as well. So it’s something that is still work in progress and it’s a work that will never stop because, really, if we compare ourselves to the market, the difference is quite high. That’s also because of the nature of our business. Being the largest multinational company, of course, we have a lot multinationals being our customer but we are pushing that segment a lot.
Matthew Lloyd: Okay. Thank you very much.
Patrick De Maeseneire: So before we go, I would like to say a few words but David would like to add something.
David Hancock: Yes. I just want to add one clarification on the answer to the currency effects on gross margin in the second half of the year. So at current exchange rates I said we’d see a 20 basis point to 30 basis point impact year on year in the second half. It’s more 20 basis points than 30 basis points, I would say. 